Operator: Good morning, everyone, and welcome to the Docebo Q2 2025 Earnings Call. [Operator Instructions] I'd now like to turn the call over to Docebo's Vice President of Investor Relations, Mike McCarthy. Please go ahead, Mike.
Michael W. McCarthy: Thank you, Julianne. Earlier this morning, Docebo issued its Q2 2025 results. The press release, which included a link to management's prepared remarks and our quarterly investor slide deck were all posted to our Investor Relations website. This morning's call will allow participants to ask questions about our results and the written commentary that management provided this morning. Before we begin this morning's Q&A, Docebo would like to remind listeners that certain information discussed may be forward- looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For more information on the risks, uncertainties and assumptions relating to forward-looking statements, please refer to Docebo's public filings, which are available on SEDAR and EDGAR. During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in U.S. dollars. Now I'd like to turn the call over to Docebo's CEO, Alessio Artuffo, and our CFO, Brandon Farber. Gentlemen?
Unidentified Company Representative: Good morning.
Operator: [Operator Instructions] Our first question comes from --
Unidentified Company Representative: I was going to say you can take the first question, Julianne.
Operator: Our first question comes from Ryan MacDonald from Needham & Company.
Unidentified Analyst: This is Matt Shea on for Ryan. Congrats on a nice quarter here, guys. Maybe just to start, you guys called out strength in the mid- market during the quarter. Could you just unpack that a bit? What are you seeing in the mid-market? And how durable do you think that strength is? And then were there any verticals within that mid-market strength that were particularly strong or noteworthy?
Alessio Artuffo: So, we did report a very strong outcome in our mid-market segment. And I would underscore that Docebo over the past several years has strengthened its position in the mid-market, mid-enterprise and enterprise segment. This is the result of work that we have done to better segment our efforts in outbound and in digital marketing, being more efficient where we allocate our spend and target verticals that are more in line with what we -- with our strength and capabilities. And so really having a stronger focus on the industries where we have more success. Historically, in mid-market, the technology sector has been a leading sector of our efforts where our product resonates very much with SaaS companies. But we're seeing beyond that, even organizations across health care and financial services playing a very big role in this success. I would say, additionally, we have implemented some process and people changes in mid-market with new improved leadership capabilities, and we have seen an immediate impact. And so, we're very pleased for this uptick. Relative to durability, we expect mid- market to continue to be strong in the quarters to come. And as that combines with a strengthened H2 relative to enterprise cycles, we're very excited about the future ahead.
Unidentified Analyst: Got it. That's helpful color. And then it was nice to see a majority of new customers still looking to use you for 2 or more use cases. I mean, nitpicking a little bit here, but that 65% level for 2 or more use cases we've seen in the last 2 quarters is down from the, call it, 70% to 80% rate last year. Would be good to get your view on what has changed maybe this year versus last year? Are customers just buying smaller in 2025 given the macro backdrop and then you kind of think you can expand with them over time? Or how are you thinking about the lower multi-use case adoption rate so far in 2025 relative to last year?
Alessio Artuffo: Yes, sure. So, look, our priority is, as you say correctly, win as much market share within a customer or addressable market within a customer as we can. And there are a couple of ways of doing that. Way number one is to penetrate a customer and sell as wide as we can from day 1. That has the backdrop of reducing the sales velocity because bringing on board both internal and external use cases, for example, and the subcomponents of those use cases, the benefit is multi-use case and higher ACV likely. The downside is more cooks in the kitchen and therefore, slower decision process. So, what we are continuing to refine is a process that optimizes ACV and velocity. And so when you see a slight reduction, what that means is that we found that in certain segments, it is more productive to enter in an organization with a couple of use cases and win the trust and do a really great job and expand from there, which is a very good example of what we've done with a notable enterprise customer this quarter.
Operator: Our next question comes from Robert Young from Canaccord Genuity.
Robert Young: Really nice to see the big 5 tech expansion. Maybe first, could you -- I think there's only 2 of those that you have currently, if you maybe confirm that. And then if you could talk about how that was won and the decision behind the displacement of an internal system.
Alessio Artuffo: And yes, to question number one, you're accurate in that number too. Relative to the one we've announced and the expansion that we spoke about, we're really pleased about it because it really is the ultimate recognition of the strategic efforts we've been putting in place to achieve this type of growth within an account. First, let me say, this is a very strategic customer that we have been serving already for a while. And -- expanding these customers, especially in the enterprise space, underscores the importance of our investments in customer success, where in these enterprises, complexity and the ability to really serve the customer across multiple use cases and stakeholders becomes important to win the trust to expand further. Second, I think you were asking about the why behind the customers' choice. And it's very simple. The customer's main objective was to scale their learning operation, their learning infrastructure with a partner that was able to accomplish 2 things. Number one, have capabilities of large scale. So true enterprise capabilities. Second, high integrability, meaning the ability to integrate with multiple systems preexisting via APIs, web books and other technological means. This customer interestingly had an experience coming from an in-house grown owned system. So, I know that in the past, there has been a question of are enterprises looking to build their own system. What we're seeing is that actually a large, big 5 like this one is actually moving away from a decision of an owned system towards using Docebo as the backbone of their infrastructure. And finally, what makes this additionally very special is this is for a customer experience use case, enabling technology teams that are part of the target market of this company. And so, it's just a rather perfect example of our execution.
Robert Young: That's great. For my second question, Brandon, maybe great to see the guidance bump and I thought maybe you could just get into some of the assumptions behind that. Are the larger deals still upside? Is FedRAMP still upside? And then if you can feather into that, maybe just -- I think last quarter, you suggested that net retention was improving through the back half of the year. Is that still one of the assumptions? And then I'll pass the line.
Brandon Farber: Rob, before I get to your question, maybe it's important if we just zoom back to when we last reported on May 9, it was -- we were roughly 30 days post Liberation Day, and we really put out a guidance at that point in time that we felt reflected the environment, which was frankly a little bit chaotic. And what we see is that in times of chaos, companies tend to deal with the change first. Once that change is controlled, they return to spend on investments. If we zoom back today, we certainly saw a portion of that chaos was maybe more noise as opposed to news. And we're just really updating our revenue guidance to reflect the macro that we see today, which is really reflecting the following. We saw strong performance in our mid-market sector, which Alessio talked about. We continue to see elongated sales cycles in the enterprise space. And FX became a tailwind for us, where during the current quarter, it helped us to the tune of 1% on total revenues and 2% on subscription. If you actually look at the different puzzle pieces that construct our annual guide and if you look at our Q3 guide and our full year guide together, you'll actually see that we're trending closer to the higher end of our range as opposed to the lower end or even the midpoint. On your other question from an NRR perspective, consistent with last quarter, we mentioned that we expected to see improvements from a gross retention perspective after Q1. From a retention perspective, it performed at expectations, if not a little bit better. Q3, we do expect another improvement in retention before taking a dip back down in Q4 with the loss of AWS. That's all within our guidance. from a FedRAMP perspective in large enterprise, that continues to be out of our guide as well.
Operator: Our next question comes from George Sutton from Craig-Hallum.
George Frederick Sutton: It was nice to see you get FedRAMP earlier than expected. It sounds like you're talking about potentially meaningful contributions in the second half of '26. Can you just give us a little sense of the trajectory of what you would expect from FedRAMP?
Alessio Artuffo: So first, FedRAMP was a very important milestone for us. We achieved that just as a look back in May. And it really unlocks alongside SLED, state and local, a $2.7 billion TAM across U.S. federal, state and local agencies. That's a very important fact to just recall. And you're correct, we did have an acceleration in the -- obtaining the FedRAMP certification, which we're very pleased about. And as far as the forward-looking we were seeing -- thanks to the work that we did in advance and preparing ourselves for this moment with partners like Deloitte and others. We've seen an increase and strengthening of our government pipeline over the past few months. While we're cautious in this market because it's not a market that we have sold into the federal one before, and we are learning its dynamics, and we will be learning over the coming months. The pipeline behavior is making us very excited with deals that have the potential to be this year, and for sure, a growth expected in 2026. We expect, as you said, H2 2026 by that time to have meaningful contribution from the federal and more broadly, the government vertical of Docebo. And I'll close by saying, look, the reason why we're super excited about it is very simple. We are in a unique position to offer a solution in this market that is scarce, because the players that are currently winning or owning market share lag behind on capabilities, features and innovation. If you look at the communications even from the White House relative to AI modernization and preferences over legacy systems, that plays exactly in our wheel allows. So, to conclude, there's a great product market fit. Timing is more accelerated than we had originally estimated, and pipeline is in line with expectations with possibility to win business in federal already this year. And just as a reminder, in this quarter, we won a couple of new states in SLED, which is a very important fact, and we're starting to penetrate more and more states, which is a great sign of success.
Brandon Farber: Yes. I would just add, seasonally, Q2 is a strong quarter for state and local, and we saw strong performance on the government sector. And while federal gets a lot of attention, I do think it's important to -- for us to continue to call out the opportunity at state and local. Today, we are in about 10 states. And within those states, we're about 10% penetrated. So, there's a lot of room for growth, and we're seeing increased traction after the FedRAMP as our brand improves in the government sector.
George Frederick Sutton: Super. It was nice to see you've seated a CRO, and it looks like Mark's background is quite good. I'm curious, given sales cycles, when would we start to expect to see his imprint on the numbers?
Alessio Artuffo: Immediately. That's what I tell him every day. But more seriously, Mark is a couple of weeks in and is already making an impact in the organization by focusing on what are obvious short-term wins or low-hanging fruit. But I have a longer-term view of his contribution. First, let me say, like you said correctly, he has a track record of success at the likes of outreach and Catalyst, where he has mastered the art of selling, but also has a deep understanding of the customer success function as it relates to selling. That is a very important attribute in a modern CRO, and I'm excited that Mark has that. His mandate is very clear. It is to sharpen execution, increase efficiency. And look, if you ask him, I think, what he can bring in the quicker way, it's improved velocity. Mark is really good at identifying process and/or ways to optimize in funnel and he's actively working on that. But the biggest contribution on a longer-term perspective that I expect him with the team to make is really blending further and further our post- sales function and our sales function because that will have very meaningful impact on our retention, GRR and NDRR both, and he's spending already a lot of time on it. I would also offer the information that it's not completely common for sales organizations to have in-house, also a learning officer expert that we are leveraging Brandon Carson, our CLO. He partners with Mark and Kyle to support our enterprises in the early stage of their strategy definition. And we're seeing early signals that this strategy of involving CLO in the learning strategy in presales is actually paying dividends. So, we think it's a unique asset, and Mark, Kyle and Brandon combined are going to be a real force in our GTM efforts.
Operator: Our next question comes from Josh Baer from Morgan Stanley.
Joshua Phillip Baer: Alessio, you gave a good summary of where Docebo is with AI innovation in your prepared remarks. I was hoping you could talk about what you are most excited about and where you are with monetization. And then I'd also like to know how you're thinking about and monitoring potential risks from AI on both sides.
Alessio Artuffo: I love this question. The risk is that I talk for far too long, and Mike and Brandon told me to shut up. I will do my best to summarize all my thoughts, but it's a great question that opens up a lot of interesting things. First, let me tell you what I'm most excited about. And I think it needs to be put in the context of what we have been doing at Docebo over the past year or so, and that is a declared intent to transition from being one of the most innovative and modern LMSs to an AI-first learning platform and company because it's not only about our products, it's also what we do within the company. And we've begun that change at a rapid pace about a year ago. Into that context, recently, in July, after announcing it at our conference Inspire, we've launched Harmony. What is Harmony? Harmony is our Agentic platform. We went live in July and what we announced was a great capability of being able to now search in platform in a modern way. Search like you would talk to ChatGPT or to Cloud, which brings a new level of AI capability to Docebo. Customers can now go in Docebo and ask natural questions and get summaries. That, frankly, is just the beginning of a long-term vision, which is what excites me the most because Harmony really is destined to be an agent of agents. What it will do, it will help create content. It will automate administrative tasks that take a long time. It will perform actions at 10, 20, 100x the speed that a human can, while they sleep, administrators can have Harmony accomplish tasks for them. I would offer also that my vision for Harmony and for agents of agents is that administrative tasks and improving the admin life is one part of the equation here, but it's not the full story. The full story is allowing Docebo to become an end-to-end AI-first platform by also enabling learners when they log in Docebo to have an AI-first experience. And I believe the technology offers the possibility to switch from an instructor-led model, which frankly every LMS prioritizes where we -- somebody creates courses and students take lessons to a learner-first model where the learner is -- at the end of the learning and the control of their learning and upskilling in their hands. So, the script is flipping, and Harmony will enable our customers to do that. That's a little bit more high level. There is a lot of innovation that is coming also in the core product. When I speak about to customers, one of the things they tell me is, Alessio, you're great on AI, but we're still using the core product. So, the innovator's dilemma, right? And so, we always have to deal with a trade- off between continuing to evolve our core, which is so important, while at the same time, preparing Docebo for the next 1, 2, 3 years. So that's some of the things that excite me the most. I haven't even spoken about Docebo Creati and all the capabilities about creating content, and that's also another big area of excitement. I'll shut up, like I told you, it was going to be a lot.
Joshua Phillip Baer: That's great. And on the risk side, I mean, anything that new entrants or ways that companies are leveraging LLMs internally themselves, like anything to look out for that you're looking at?
Alessio Artuffo: Sure. So, there are always going to be new entrants. And frankly, in the 13 years that I've been at Docebo and 20 in the industry, there have always been new entrants. Well, Docebo was a new entrant at one point. So, I know that story really well. But there's a lot of things to say about it. First of all, we have the benefit of experience, data and customers that we can work with and in order to improve the learning landscape. Second, for sure, there is a debate whether people can just learn in isolation through an LLM and skip, if you will, the formal learning component. I would offer the following reasoning about that and the way I think about risk mitigation. Learning is a process in an organization, corporation that embodies 2 things: the transformation of knowledge into learning and then the absorption of learning towards skills, competencies that we possess and evolve over time. LLMs don't have any information about once a degree of knowledge in a certain area within the corporation. They are nondeterministic system. If you go to an LLM and ask the same question, 3 times, you got 3 different flavors of answers. In order to be deterministic, a platform needs to have the knowledge, the ability to transform this knowledge into structured learning with pedological models and the underlying skills backbone that ties knowledge, learning to skills evolution. That's what we are doing. We're building a platform that has an LLM-like experience that ties learning and knowledge because those 2 walls are crumbling to skills. And we're doing this in an agentic way, and that is our way of mitigating risk and future-proofing Docebo for the next 10 years.
Operator: Our next question comes from Suthan Sukumar from Stifel.
Suthan Sukumar: I wanted to double-click on the big tech expansion deal you guys announced this morning. Could you give us a bit of sense on the size and scope of the deal? And as you think about this customer long term, what's the -- what are the levers for additional growth opportunity here?
Brandon Farber: Suthan, on the size and scope, so it's a customer use case. I would say it's large 6 figures, slightly below 7-figure deal. From a customer count perspective, you'll see that it's not in our new logo ACV because it's same customer but completely different department. And sorry, your second question, can you just repeat?
Suthan Sukumar: Just curious on what -- how you guys think about what the growth opportunity might be ahead with this customer?
Brandon Farber: So, it's actually a great question because if you look at the 2 use cases that we have, there are still 2 customer ad use cases, which is to say we do not have the employee experience use case. And from what we know today, this customer still uses multiple different LMSs, not just for internal, but there are other customer experience use cases as well. So, while it's hard to exactly quantify how penetrated we are within that customer, I would still say we are underpenetrated.
Suthan Sukumar: Got it. And just on the recent CRO hire, it's good to see a new CRO in place. And I know he's just fresh in the seat, but how do you anticipate your focus shifts or priorities change with respect to your current go-to-market motion?
Brandon Farber: I don't believe, Suthan, that there will be any drastic shift. Like I mentioned before, rather a real focus on execution, efficiency and really ensuring that as we interact with customers, we just create value together with them. As I mentioned before, Mark has a really good experience across both sales and customer success. And integrating those functions, integrating -- having a full cycle where the customer feels taken care of and supported, and we manage against their expected outcomes is an area where I believe we have room to grow. And so, one of these mandates is to really strengthen our muscle in that area. And yes, that's -- I think those are the most important things that I would underscore.
Operator: Our next question comes from Yi Fu Lee from Cantor Fitzgerald.
Yi Fu Lee: Nothing better to end the week than a positive earnings print. So, Alessio, I just wanted to start with your favorite child that's Harmony Agentic AI, which you were most excited about at Inspire. It looks like you're ahead of schedule in delivering Harmony in dance stages first with search and Copilot this quarter and expected automated actions by year-end. So, I just wanted to drill down more on the go-to-market and sales strategy best to monetize this great product. How do you think of that pricing and now that you have Mark CRO in place?
Alessio Artuffo: Great question. And I believe that Josh earlier asked the question on the flavor of monetization, and I'm glad to cover this so that we can respond even to the prior note from Josh. First of all, it's good to have you on the call. And thank you for the question. So, on the merit of Harmony and monetization, if you -- if we go back to our last earnings call, I said that my priority is for us to ship capabilities that create value for our customers relative to the topic of monetization. That was the priority. In general principle, it's important first to deliver value to customers because monetization will follow once that is accomplished. We have launched Harmony Search in the beginning of July, so not even a month ago. And our approach, by the way, is an approach of shipping capabilities at a very good state of readiness and iterating fast and improving these capabilities very quickly as we go. So, this is a little bit different than your more standard 3, 6 months release cycle. We want to improve these AI capabilities weekly. It's early to establish the hard numbers relative to usage, even though the usage dashboards that we see please us, but it's hard to make a definitive statement in just about a month. But I can tell you the following: that when I see that features like a video presenter that was launched a few months ago already generated more than 20,000 minutes of video content, and that roughly 2,000 customers generated AI assessments and that with content builder that we also recently released over 2,000 learning assets that were developed by customers. All the data points to the fact that these products are becoming popular among our customer base. Now the question is will we monetize it? How fast, how soon and how in general?
Yi Fu Lee: How about the go-to-market, like how about like in terms of like how would you sell? Forget the money aspect, I get it, you want to deliver the value to customers first, right? How would you reach them? You already have an existing customer, right? How would you leverage the CMO, CRO in place, right, to say, "Hey, we have this awesome product in Harmony could you give it a try?"
Alessio Artuffo: Yes. Well, first, for clarity, it was our strategic choice to put these products in the hands of as many customers as we can. We gave Creati and Harmony both in the hands of all our customers that wanted to activate it and without discerning or using it as an upsell mechanism. And the reason was we really want to get to a place where the customers want to use it, want more of it before, again, applying monetization strategies. The way we're talking about it, the way we're using it is really a proof point of our AI strategy and a differentiator against legacy vendors. And it is the beginning of positioning us strongly in the AI-first category, which we fully belong to right now, and we're just building and building and building on top of that.
Yi Fu Lee: Excellent color, Alessio. I just want to follow up with Brandon on the financial side. It sounds like from your prepared remarks, you are very optimistic about the second half with renewed signs of tech investments in reskilling and upskilling. So, Brandon, can you talk about other verticals in light of the ongoing trade negotiations, verticals you called out auto, industrial, retail in the last quarter. Are we out of the woods yet? Or do you still have some reservations? And how does that big 5 tech win that you mentioned earlier today prove that hey, look, Dacebo was able to serve other large tech titans right, even in light of the loss -- unfortunately lost contract with AWS. That's it for me.
Brandon Farber: Thanks for the question. So, on the general industry groups that we called out, what I would say is that in the enterprise space, within those subsectors, we continue to see deal scrutiny and elongated sales cycles. And the good news is that we have a playbook that works well from this. We've been in multiple different macro environments over the past 3 years. And when the deals become tough, we really lean on value engineering and really work with our prospects to build a business case and prove out the ROI of learning so that they could pitch that to their executives and show that every month you do not purchase this LMS, you're actually losing out of money. In the current quarter, that worked out very well in the mid-market space, and we saw value engineering make a difference on a couple of manufacturing wins that we had during the quarter. So generally, I would continue to separate mid-market in all end segments, we saw strength in enterprise. In most of the sub-segments, we continue to saw deal elongation. From a large tech company win, this is a customer of ours that we've had for a while. They're fans of Docebo. They come to our Inspire event. And the continued expansion is just proof of Docebo executing from an implementation perspective, from a customer success perspective, from a customer support perspective. And there are continued fans of Docebo, and we continue to get introduced through different departments within that company. Ultimately, having more and more of these large tech logos does help because they ultimately become referenceable companies, and that helps us win other logos.
Operator: Our next question comes from Kevin Krishnaratne from Scotiabank.
Kevin Krishnaratne: Just one maybe clarification here. In your prepared remarks, you talked about the customer count above 100,000 ramping at 23%. I think it was 16%. So, a really nice acceleration there. I'm just wondering what we're seeing there. Is there something mechanically to think about because it looks like just quite a jump from the 16% to 23%.
Brandon Farber: Yes, Kevin, there's really 3 ways that a customer could become a customer count above $100,000. Number one, first-time Docebo customer during the quarter. Number two, that current customer was a $50,000 customer, and they expanded during the current quarter to become over $100,000. And we did see not only strong performance in mid-market from a new logo perspective, but also from an expansion perspective. And then thirdly, we did see a benefit on the customer count due to FX, where certain contracts denominated in euro GPP that were around the roughly 90 to 95 range got pushed above $100,000. So, all those 3 factors together led to the acceleration in the customer count growth.
Kevin Krishnaratne: I see. Okay. That's super helpful. The second one, I know you gave us the guide for Q3, but can you talk about the ARR trends and sort of what you expect to close out the year, Q3, Q4, you had a pretty good bump up here in the Q2, $8 million. I know FX would have helped there. Obviously, you had a couple of big deals that you signed. But just help us think about the ARR build for Q3 that will help us think about the rest of the year.
Brandon Farber: Generally, Q3 is a seasonally weak quarter for us, specifically in EMEA, where vacations in July and August really make September the only month that we could execute on contracts. So, from an ARR perspective, we would expect a step down in Q3 from the $8 million we printed in the current quarter. And in Q4, while seasonally typically the strongest quarter, we have AWS coming out of December 31 as well. Ultimately, I would say the impact of ARR is in our revenue guide, and we expect the same seasonality trends that we historically have.
Operator: Our next question comes from Aaron Kyle from CIBC.
Unidentified Analyst: I just wanted to ask a question on the Global Education Solutions customer win in the quarter. You mentioned students in response to an earlier question as well, Alessio. So, I'm just -- I'm curious on that win. First of all, how many use cases they selected Docebo for? And then just on the education vertical in general, are you seeing more demand in that industry?
Alessio Artuffo: So yes, the good call out. This is one of the world's largest education publishers. And so, we're very pleased to welcome them to our family. As far as the use case, this is a full Docebo multi-use case hybrid category. We are delivering capabilities for sales enablement, customer support, onboarding and then a more customer-focused use case for continuing education aspects. I think notably, this customer came from a very well-known large legacy vendor where the pains were frankly, the ones that we hear the most in rigidity, not very usable. And so, we solved for those by bringing flexibility and what we do really well, which is configuring an environment that has complexity for the customer. I think the other things I can tell you is we -- it was a very competitive deal against a number of both, I would say, mid-market competitors as well as enterprise competitors, and we were pleased with winning it. Additionally, in the competition, we understand that there were also, if you will, the giant HRIS vendors with a learning module. But again, because their learning capabilities are not up to par with Docebo, we were able to overcome those. So, all in all, a great deal. And as far as the question for broader education sector, it is a segment that we love, selling a learning solution to educators. It's something that comes natural to us. For sure, Docebo is not geared towards the education space in the sense of the academia, but we have a large amount of customers that use Docebo similarly to this use case. And so, it's definitely a growing footprint in the market.
Unidentified Analyst: That's very helpful color there. And maybe I'll just switch gears to capital allocation. You're fairly active on the NCIB this quarter on share buybacks. Maybe if you can just give us an update on capital allocation priorities for the second half of the year as we look forward?
Brandon Farber: Aaron, so as we've discussed in the past, we really have 3 areas where we deploy our cash. Number one is investing back in the business where we see strategic opportunities. At the moment, we're investing in headcount and sales and marketing from a government vertical perspective and R&D to really accelerate our AI road map. Buybacks is a good use of cash. It's not a fixed program, and it's certainly a program we use to deploy cash when we see our shares are at attractive valuations. And M&A is a vertical that we continue to look at. And we continue to wait for an asset that has the right product, is at the right price and has the right people. And until all of those 3 line up, we'll continue to deploy our cash in other means.
Operator: Our last question will come from Gavin Fairweather from Cormark.
Gavin Fairweather: Just a quick one on the federal sector. Given sales cycles, I'm curious how much visibility you have on expected RFP levels in 2026? And what are you hearing from your partners on kind of upcoming activity levels, maybe versus the historical norms?
Brandon Farber: Gavin, we've taken the opportunity and we're reaching out to all the federal departments ourselves. We've been talking to them for a number of years to prep Docebo to become FedRAMP solutions. And I would say we're building pipe not just on RFPs, but through self-sourcing and pitching Docebo. Generally, what I would say from a sales cycle perspective is that Q3 tends to be the largest quarter from a federal contracting perspective because the government year-end ends September 30. And that's really why we've always discussed that we expect to see more meaningful revenues from the federal sector in Q3 of 2026 because we just received FedRAMP compliance. And in order to pitch, validate product, procure before September 30 of this year, it's tight. While we do see 1 or 2 potential deals to land, we do think it's the right approach to stay measured and continue to guide that this is more of a 2026 opportunity.
Operator: We have no further questions. I would like to turn the call back over to Alessio Artuffo for closing remarks.
Alessio Artuffo: Thank you, everyone. Thank you for participating in this earnings call. We look forward to seeing you in the next call for quarter 3 reporting in November. Have a great day. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.